 - : Alexander Vengranovich - Otkritie Capital Vladimir Bespalov - VTB Capital Mitch Mitchell - BCS Global Markets Sveta Sukhanova - Sberbank
Operator: Good day and welcome to the Yandex Second Quarter 2018 Financial Results Call. Today's conference is being recorded. At this time, I would like to turn the conference over to Katya Zhukova, Investor Relations Director. Please go ahead.
Katya Zhukova: Hello, everyone, and welcome to Yandex' second quarter 2018 earnings call. We distributed our earnings release earlier today. You can find a copy of the press release on our IR website and on Newswire services. On the call today, we have Greg Abovsky, our Chief Operating and Chief Financial Officer; and Mikhail Parakhin, our Chief Technology Officer; Arkady Volozh, our Chief Executive Officer, and [indiscernible] VP of Corporate Development will be available on the Q&A session. The call will be recorded. The recording will be available on our IR website in a few hours. As usual, we prepared a few supplementary slides, which are currently available on our IR website. Now I will quickly walk you through the safe harbor statement. Various remarks that we make during this call about our future expectations, plans and prospects constitute forward-looking statements. Our actual results may differ materially from those indicated or suggested by these forward-looking statements as a result of various important factors, including those discussed in the Risk Factors section of our Annual Report on Form 20-F dated March 27, 2018, which is on file with the SEC and is available online. In addition, any forward-looking statements represent our views only as of today and should not be relied upon as representing our views as of any subsequent date. Although we may elect to update these forward-looking statements at some point in the future, we specifically disclaim any obligation to do so, even if our views change. Therefore, you should not rely on these forward-looking statements as representing our views as of any date subsequent to today. During this call, we'll be referring to certain non-GAAP financial measures. These non-GAAP financial measures are not prepared in accordance to the U.S. GAAP. A reconciliation of the non-GAAP financial measures to the most directly comparable GAAP measures is provided in the earnings release we issued today. And now, I'm turning the call over to Mikhail Parakhin.
Mikhail Parakhin: Thank you, Katya, and hello, everyone. I'm delighted with our accomplishments in Q2. Our consolidated revenue grew 34% year-over-year reaching RUB29.7 million. Revenue growth was primarily driven by the solid growth on Yandex properties, accounting for the bulk of our revenue as well as by great performance across Taxi, Classifieds, Media Services and Experiments. On April 27, we completed the formation of Yandex.Market, JV, Sberbank and deconsolidated Yandex.Market from our consolidated numbers. From a reporting perspective, this means our consolidated revenue growth as in Q2 2018 will report only 27 days of Yandex.Markets results versus full quarter Yandex.Market in Q2 2017. Excluding the impact of Yandex.Market from 2017 and 2018, our revenues in Q2 grew 39% year-over-year. Revenues of Yandex properties grew 21% year-over-year excluding Yandex.Market revenues of Yandex properties grew 28% year-over-year. This is compared with 24% growth on the Yandex.Market bases in Q1 this year. The acceleration was driven by solid trends in search and across our other properties, with then images and homepage as main contributors to grow up. Growth in our core search product was driven by a number of factors primarily by share gains on android and our advancements on the tech front. The news to approach to auction that we unveiled in late April as part of our templates launch was well adopted by advertisers. We continued experimenting with different ad layouts and their placement within organic search results. We see encouraging trends in mobile monetization as a result of some of these tests. In June, we started experimenting with placement of Yandex.Direct app on our homepage. The experiment combines efficient targeting capabilities of Yandex.Direct with an extensive reach provided by Yandex homepage, one of the largest online advertising premises on the Russian Internet. Currently, we are on this experimental limited audience size and we see encouraging results. On that ad network front, we continued seeing the adverse impact from the change of our partner mix that I mentioned in April. In Q2, it was not fully offset by the positive impact of our new partnerships. Revenues of Yandex Ad Network grew 4% year-over-year this quarter. Turning to our search share trends, in June our overall search share reached 55.5% up 120 basis points compared to the year ago. Our search share on desktop averaged 65.9% in June, gaining 160 bps from June 2017, but down 160 bps from March 2018, due to regular seasonality and the adverse impact of the World Cup on our desktop searches. On mobile, our search share hit new heights at 46.2%, growing 540 bits year-over-year. On android, our search averaged 48% in June. This is an increase of 120 bps from March 2018 and 880 bps up year-over-year. On the past full week, our share on android reached 48.6%. Our search share on iOS was 39.4% in June, up 90 bps compared to March 2018, but slightly down from a year ago. Share of mobile traffic reached 45% of our total search traffic in Q2. Mobile revenues represented 35% on search revenues. Mobile platforms remained the key driver of our search query increase driven by growth of our mobile share and the adoption of Alice, our intelligent voice assistant. Alice continues to drive user engagement and loyalty. In Q2, its number of skills significantly increased and reached 10,000. This growth was driven by Yandex Dialogues, our platform with third-party developers allowing to integrate third-party skills quickly and easily. Since launch share of voice search traffic in our search app grew from single digit to 18% while our search app audience has doubled. We strongly believe that voice is a key element to connect the online and offline world. Alice is currently available in Yandex.Browser, Yandex.Search app navigator, and Yandex.station, our smart speaker that is present recently. Yandex.Station that is on board assists people in their homes managing daily routine tasks. This is the first smart speaker developed for the Russian market. We see a strong interest in Yandex.Station. We sold out our first batch during the first day. Now everyone can order Yandex.Station on Yandex.Market and the price is RUB 9990 which is approximately $160. Yandex.Plus is another new product that we unveiled in Q2. It is our subscription-based membership program that currently provides access to a bundle of Yandex services. The subscription monthly fee is below $8, but it offers number of nice benefits. Unlimited music streaming on Yandex.Music ad free movies on KinoPoisk, discounts for Yandex.Taxi and Yandex.Drive Rides. Free delivery for the users and additional storage space on Yandex disc. Yandex.Plus provides it subscribers the benefits of using their favorite product and gives an opportunity to discover new ways that Yandex.Services can help them. I'm excited with the speed of new product launches that we demonstrated recently. With this I'm turning the microphone over to Greg, who will walk you through the operational performance of business units and our financials.
Greg Abovsky: Thank you, Mikhail, and thank you all for joining our call today. In Q2, we delivered another strong set of results. Our consolidated revenue grew 34% year-on-year, reaching RUB 29.7 billion. Online advertising revenues accounted for 83% of total revenues in Q2 and increased 17% year-on-year. Excluding Yandex.Market, ad revenues grew 21%. Reported revenue growth of Yandex.Properties was 21% year-over-year, excluding Yandex.Market, Yandex.Properties grew 28%. Revenues from our ad network increased 4% year-on-year due to the reasons Mikhail mentioned earlier. Revenues from our ad network accounted for 19% of total revenues. Other revenues grew 344% year-on-year in Q2, primarily driven by Yandex Taxi revenue, which contributed the bulk of the other revenue line. Traffic acquisition costs related to our partner advertising network grew 9% year-on-year. Partner TAC as a percent of partner revenue was 61% in Q2, up 2.9 percentage points compared to Q2 2017 and up 2.2 percentage points sequentially. Partner TAC grew faster than our partner revenue due to the change in the product mix and partner mix. Traffic acquisition costs related to distribution partners increased 20% year-on-year and amounted to 6.8% of advertising revenues from Yandex.Properties, down 10 basis points compared with Q2 2017 and 20 bps higher on a sequential basis. Total TAC increased 12% year-on-year and amounted to 15.9% of total revenues, down 320 bps from Q2 2017 and 30 bps lower compared with the previous quarter. Paid clicks grew 10% year-on-year, while cost per click was up 6% year-on-year. Excluding Yandex.Market, paid clicks grew 16% year-on-year and were driven by solid growth rates on search and our other properties. Turning to our cost structure, in Q2 total OpEx excluding TAC and G&A grew 46% year-on-year. Excluding stock-based comp, operating expenses increased 45%. The growth was primarily driven by the increase in growth of outsourced costs and services provided to Taxi corporate clients as well as advertising and marketing costs across all of our businesses. As of June 30, 2018 our headcount reached 8280 people, up 2% compared to March 31 and 27% higher compared with a year ago. The growth is primarily driven by hires in taxi and in our core business, but was muted by the cancellation of Yandex.Market. Excluding Yandex.Market, our headcount was up 12% compared to March 31 and up 40% compared to a year ago. In Q2, our personnel costs constituted 20% of total revenues, despite acceleration and hiring. Stock-based comp increased 62% year-on-year in Q2 and constituted 5.3% of revenues, up 90 bps from 4.4% a per year ago. D&A expense in Q2 increased 4% year-on-year. Sequential acceleration of growth rates and D&A primarily related to the expiration of useful lives of a part of our equipment and intangible assets. Our consolidated adjusted EBITDA increased 23% year-on-year. Excluding Yandex.Market our adjusted EBITDA grew 32% year-on-year. This quarter the impact on ForEx was a gain of RUB2.1 billion related to the depreciation of the Russian ruble during Q2 from RUB57 to the dollar to RUB63. It's important to note that our other non-operating income significantly increased in Q2, compared to a year ago as this P&L line included to a gain from the deconsolidation of Yandex.Market. This gain was approximately RUB 28 billion. Net income was up 857% year-on-year in Q2 2018 primarily as a result of the gain from Yandex.Market consolidation. Adjusted net income was up 27% year-over-year and adjusted net income margin was 17.1%. Adjusted net income excluding Yandex.Market was up 44% from Q2 2017 and adjusted net income margin excluding Yandex.Market was 18%. Our CapEx was RUB 9 billion or 30% of our total Q2 revenues. As we mentioned before, our CapEx primarily relates to servers and data center equipment, not evenly spread out across the quarters, independent delivery date of equipment. The first six-month the year, our CapEx amounted to 18% of our revenues. On a full year basis, we expect CapEx to be in the mid-teens as a percentage of revenue, trained to the performance of our business units. Search and portal revenue grew 22% year-over-year driven by the growth on our owned and operated properties. Adjusted EBITDA of Search and Portal grew 27% year-over-year in Q2 and its adjusted EBITDA margin reached 46.6%, growing 170 basis points compared to year ago and increasing 10 basis points sequentially. On a full-year basis, we expect our Search and Portal margins to be up slightly year-over-year due to additional hiring, step up in advertising and marketing cost to support our existing products and some hardware initiatives which negatively affect our core adjusted EBITDA margin in the second half of the year. Moving to Yandex.Market standalone. The revenue growth rates acceleration on the Yandex.Market side due to improvements in traffic conversion rates and our comparison-shopping product. In Q2, revenues of Yandex.Market on like-for-like basis grew 21%. Adjusted EBITDA adjusted loss of Yandex.Market was RUB 9 million in Q2. Turning to our taxi segment. As of June 2018, the combined business operated in 181 cities with population 100,000 plus and in 109 cities with a population of between 50,000 and 100,000. Our total number of rides grew 207% year-over-year including a full quarter's contribution from Uber. Revenues of taxi grew 426% year-on-year in Q2. Adjusted EBITDA loss of taxi was RUB 1.9 billion in Q2. Significant portion of it included four quarters of Uber's losses as well as our investments in the food delivery business. We completed the integration with Uber in mid-June and expect a positive impact from Uber cost optimization in the short to medium-term. We continue to expect but on annual basis, our adjusted EBITDA loss of taxi segment. We are roughly on par with 2017 losses in absolute terms. Our investments in the second half of the year will be skewed towards our food delivery business as well as new initiatives, while in our established markets we expect improvements in our adjusted EBITDA. Now let me turn to classifieds. Revenue in the classifieds business grew 101% year-on-year in Q2, primarily driven by revenues from listing fees and VAS, which increased 102%, as well as from offline revenues related to the dealership business, which is run by auto.ru on an experimental basis. In Q2, this experiment had generated 18% of total revenues of classifieds and contributed 36 percentage points in the revenue growth rate. In general, auto.ru. continues strengthening its market position. Adjusted EBITDA was positive RUB44 million. Turning to media services. Yandex.Music reached 1 million subscribers in June and continues to grow. This is an impressive step-up from 250,000 subscribers in late 2016. Furthermore, we see benefits from integration of Yandex.Music into a range of our own products such as Yandex Auto and Alice. We also believe that Yandex.Plus and Yandex.Station will contribute to the growth of Yandex.Music subscription base going forward. We also continued strengthening KinoPoisk and we significantly increased its legal content library in the quarter. In Q2, media services revenues were RUB395 million and grew 57% year-on-year. Media services adjusted EBITDA was RUB -260 as a result of our investments in the content library as well as an increase in advertising and marketing costs. In Q2 2018, revenues of experiments represented by Zen, Cloud, and Yandex.Drive reached RUB 414 million. The growth was primarily driven by Zen and Yandex.Drive. Adjusted EBITDA loss of experiments was RUB460 million. Dow reached 13 million users, and more than doubled over the past year. The average time spent per user on a platform remains stable. Engagement of Zen app users has been progressing well. In June, the revenue run rate of Zen exceeded RUB 4 billion. Zen continues adding new features aimed at increasing user engagement. In Q2, we did short posts and videos and ability to leave comments which increases user engagement. Getting back to corporate matters. We ended the quarter with approximately RUB 97 billion in cash and equivalents which is approximately $1.5 billion in exchange rate as of June 30. This includes the cash and cash equivalents of Yandex.Taxi which amount of RUB27 billion. Cash equivalents related to Yandex.Market accounted for RUB32 billion and are not included in the Yandex and the consolidated balance sheet cited above. Turning to guidance. Based on our recent solid performance, we increased our Outlook for our search and portal business to grow in the range of 20% to 22% year-over-year in 2018. Excluding Yandex.Market from 2017 and 2018 results, we'd expect our revenues to grow 32% to 35% in 2018, compared to 2017 levels. With this, let me turn the call over to the operator for the Q&A session.
Operator: [Operator Instructions] We will now take the first question from Cesar Tiron from Bank of America, Merrill Lynch. Please go ahead.
Cesar Tiron: Yes, hi everyone, and thanks for the call and thanks for the opportunity to ask questions. Congratulations for your strong results. Two questions for me please. The first one, there seems to be still a lot of operating leverage in core search and that has percentage of revenues keeps declining, to not what some of your peers are experiencing. Do you think this is sustainable going forward? And then the second question, could you please give us some metrics on the food delivery business, discuss the success you had so far and possibly tell us you know how much you spent in food delivery in 2Q. Thank you so much.
Mikhail Parakhin: Hi Cesar, this is Mikhail Parakhin here. I'll take the first one and then maybe Greg will take the second one. On TAC, so we have two TACs right, distribution TAC and partner TAC. Distribution TAC was pretty much flat at I think 6.8% of our total revenues and we expected to be roughly stable in and Glenn into next year. For our partner TAC and ad network that actually increased as a result of changing partner share mix and we actually saying that this event will also continue. That's why we were lately emphasizing our own properties were real, but if you don't pay TAC. You again, you can sort of rethink that this trend will continue going forward. Okay.
Greg Abovsky: Thanks. Yes, these are so on the second part of your question where are you expected to deliver. So I can provide you specific metrics because it's still in a very early stage, but what I can say is that Yandex.Eats grew very significantly. The Uber Eats business that we inherited from the Uber transaction has been phased out and everything is now branded as Yandex.Eats. I think if you walk around Moscow these days, all you'll see are carriers with Yandex.Eats out uniforms and Yandex.Eats food bags walking around. The other thing I can mention is obviously the most important metric that we track from a customer satisfaction standpoint is the 'click to eat' metric, meaning how long it would take for consumer to get their food from the moment they order it in the app until they actually receive it, and not only are we seeing significant increases in this 'click to eat' metric for ourselves, we also appear to be significantly better compared to the competition which is obviously driving significant growth in market share for us in Moscow which is our primary say at this point. We're present in a few other cities, but we only launched there a few weeks ago. And then just in terms of how we plan to invest in this business, we're very bullish on it. We think there is a lot to do in food tech in general. I think it fits in very well with the rest of the Yandex ecosystem, with taxi, with search, and so on. And, so we expect to significantly ramp up investments in food delivery over the course of the year. Does that answer your question?
Cesar Tiron: Thanks Greg and Michael. Thank you.
Operator: Thank you. We will now take the next question from Lloyd Walmsley from Deutsche Bank. Please go ahead.
Lloyd Walmsley: Thanks and to the first one would just be on core Yandex sites growth. Can you give us a sense where you are in terms of the templates rollout. It sounds like it wasn't one of the top drivers of the revenue acceleration. How should we kind of think about that rolling out more broadly and the impact to revenue and then just the second one on the taxi business, can you just give us an update on where we are in terms of subsidies across the riders and drivers and how those are kind of likely to trend over the next few quarters. Thanks?
Mikhail Parakhin: Mikhail again. So, on templates well. Templates are actually is contributing significantly -- reasonably to our revenue growth. Many templates contribute as well. We keep on shipping new and new formats being controlled by templates. And just in fact recently, we experimented very significantly on mobile devices with four months where ad was placed in the middle of the church page instead of concentrating over them at the top as so far, and some of our competitors do. So it's not as I was sort of consistently saying templates is whole broad sort of spectrum of technology that we gradually rollout – so every time it's not one huge sort of one goal or no goal, it's more every sort of week right. New format appears to be included in templates and it starts being optimized and then the new format and sometimes you can see it that right now. Right now you're careful, like you'll see more and more cases when for example navigation credits the nonpaid link will be above the paid links, things that were previously unthinkable and again as I said on mobile there is many more situations when added in the middle of the search page. So those things, they're just not sort of one big boom they are growing gradually. We think they're fairly successful so far. 
Greg Abovsky: Thanks Mikhail and I'll take the second question with respect to taxi. So what I can say overall is that taxi business is tracking obviously very, very well. We're kind of very happy with where it is currently. In terms of the overall loss for the EBITDA loss of the segment as I mentioned in the prepared remarks, we continue to expect it will be give or take RUB 8 billion. Obviously, that's going to include the core ride sharing business, the food delivery business that I just talked about as well as the self-driving initiative. And so over the course of the year, we should expect to see is that the losses of the taxi segment will definitely mitigate, but then on the other hand like I said we're bullish on food delivery and I think we're making great strides there as I just said. And then the other thing that we are getting increasingly excited about is obviously self-driving where we feel that the AI talent that we have assembled here at Yandex is world-class and we're making significant advances with considerably smaller resources than the rest of the competitors. And so we'll continue to support this initiative and we think it's world class in terms of capabilities.
Lloyd Walmsley: Great. Thank you.
Operator: Thank you. We will now take the next question from Miriam Adisa from Morgan Stanley, please go ahead.
Miriam Adisa: Hi everyone. I've just another follow-up question on taxi. So, it's been a bit of more aggressive price competition in Moscow, after the quarter ended. So just wanted to get an idea of what your attitude is towards price competition. You feel like you've built up enough of the lead, not to have to participate or do you see it more optimistically. And then second question would be on if you can give us an update on the roll-out of new devices with such, which has largely been done now with anything next to come in terms of new manufacturers rolling out. Thank you.
Greg Abovsky: Hey Miriam, it's Greg. I think I'll try to take both of those questions. In terms of subsidies in taxi business, look we've always insisted that ridesharing is a highly competitive global market and we think in the end, it will be totally defined by strong network effects, superior product, superior tech stack, and then the ability to leverage an entire ecosystem of adjacent services. I'd say the ridesharing market is still very young and so there's lots of players who think that ridesharing is really easy. I'd say time and time again, you see competitors burn tons and tons of cash in sort of misguided attempts to buy market share with massive subsidies, and by the way it completely works, right. But it only works for very short time and only if you have really deep irrational investors behind you. We've seen another competitor in the market here such as I think they raised a total of $700 million cumulatively and invested in number of different markets and I think based on sort of public data, their market share is significant some 5% in New York and UK and Russia and everywhere else. So, I think in the end, we feel very good about the taxi and it's outlook. We think that competition only serves to enlarge the market. I think it serves to accelerate transition from offline. We think of offline is kind of a vestige that's going to go away or be transformed with the help of the Yandex ecosystem and AI Technologies to be much more robust. And in the end, the market will migrate in sort of this personal transportation to share transportation and Yandex.Drive, Yandex.Taxi, all of these services accelerate that shift. On the search widget question, actually there's been very limited rollout of search widget to date, it's still the preponderance of devices do not have search widget, but simply have the chrome tray screen, but it is in the market now. It's ramping up and so I think that that is still ahead of us. 
Miriam Adisa: Great. Thank you very much.
Greg Abovsky: Thank you.
Operator: Thank you. We will now take the next question from Slava Degtyarev from Goldman Sachs. Please go ahead.
Slava Degtyarev: Yeah. Thanks for the call, couple of questions, especially on guidance. So, does your include guidance include Yandex.Station in both revenues and EBITDA, and if so how many stations you aim to sell roughly. And maybe also broadly, how would you describe your strategy with regards to the Yandex.Station and they also aim to sell it at zero margin and maybe the long-term strategy she has well. And secondly, if you can describe the current gross bookings, run rate for taxi is 35 minutes, that's during the call. And also how should we think about the several one factors that affected the TAXI growth in the second quarter, because it seems like your taxi growth will decelerate in the second half of the year. Maybe you will somehow quantify qualitatively, the various factors including the World Cup effect. Thank you.
Greg Abovsky:
, : As you know we sold out of the Yandex.Station in the first batch and we're looking to acquire and distribute more of those. Those are all zero or even potentially slightly negative margin, but Mikhail will explain more the strategy there and I'll leave it up to him. So there's essentially no hardware revenue in the guidance, although our EBITDA guidance does include pressure from those dilutive hardware sales. And then I'll turn it over to Mikhail to talk a little about the strategy with station and other voice platform technologies.
Mikhail Parakhin: So, obviously our main goal here is to have Alice in every household, our conversation assistant being placed in every single household in Russia and other countries that we work in. This is our goal and we do not envision ourselves as being this hardware manufacturers. It's not really our main sort of business expertise, but we do get ourselves into this from time to time to open new market or to have devised that sort of reference devised that others can use and you may be create variance of. So we do not think we'll be making money on the devices obviously, and we do not think it's going to be like super huge part, but we will do whatever is necessary to have the device in every single household in other countries -- in our country.
Greg Abovsky: Sorry Slava. Just on the question of taxi revenue growth which you asked. Yeah, obviously look it's going to slow down over the course of the year. It's not a lot of businesses that grow sustainably 465% year-over-year, but we still think that there is lots and lots of growth ahead of us. And in terms of gross bookings run rate, I think we're currently tracking it around to $2.5 billion run rate or so.
Slava Degtyarev: Okay, thank you very much.
Operator: We will now take the next question from Ulyana Lenvalskaya fromUBS. Please go ahead.
Ulyana Lenvalskaya: Thank you, good afternoon and congratulations on the strong numbers. I just wanted to firstly to full up margin question. Given this fairly strong result achieved in EBITDA margin or Search and Portal business. How should we think about the outlook for the second half, like you previously were guiding at flat margin in a year. It is still the case.
Mikhail Parakhin: Hi Ulyana. So, with respect to the search and portal margins, as I mentioned the preparative marks. At this point, we expect that the core search and portal margins will be up slightly for the full year. And so in the first half of the year, I think our core search and portal margins were up something like close to 300 basis points, but I think I also mentioned in the last earnings call that we constantly sort of try to balance off the investment opportunities in our core business against demonstrating sort of natural operating leverage in the business. And the set of investment opportunities that -- that's ahead of us is largely the same as we talked about in our last call and that's AI which in turn drives speech and voice platforms. It's Jio-based services including an initiative to drive the adoption of location-based advertising by the SMB segment. And in general, sort of simplifying online advertising for the SMB client both in terms of Yandex.Direct which is the contextual advertising side as well as on location base side. And finally the hardware initiatives which like I said are significantly margin dilutive and we wanted to be careful about the potential impact of those on the second half of the year when those products do ship.
Ulyana Lenvalskaya: Makes sense and secondly, could you please talk a bit talk about the car sharing business. How many cars do you have now and what's the future of this business?
Mikhail Parakhin: Sure. So, car sharing business is a really interesting one. Currently I think we have about 2500 cars on the platform. We think we are more or less the market leader in the Moscow market and interestingly enough Moscow is the largest car sharing market in the world, which is I think -- it speaks to the sort of the wisdom of the local government here, which has allowed car sharing companies to have free inter-city parking for all the car sharing providers. And we're seeing really, really good utilization rates out of our cars and remember these cars, they tap into the entire kind of Yandex ecosystem, because they leverage our mapping, they leverage our navigation, they leverage a single login across all of our services, so consumer can reserve a car on Yandex.Drive. They can get into it. They'll be automatically logged into the system inside the car, meaning the – navigation – entertainment and so on, so they call pull up their favorite playlists from Yandex.Music and then on top of that, we try to cross sell things like Yandex.Plus subscriptions, right which is our membership subscription service that for RUB169 provides you access to Yandex.Music. Discounts on premium classes of service and Yandex.Taxi, discounts on Yandex Drive, free shipping on ru, and so on and so forth. For example, more space on Yandex.Desk. And so I think the combination of all of those things that we can pull together and often the consumer has made the servicing incredibly successful. And we're very excited about kind of this full range of transportation functionality, you can offer to the consumer.
Ulyana Lenvalskaya: Great, thank you so much. They're useful.
Mikhail Parakhin: Thank you.
Operator: Thank you. We will now take the next question from Alexander Vengranovich from Otkritie Capital. Please go ahead.
Alexander Vengranovich: Yes, we have lot of time left actually. So, just first question is a follow-up for previous answer on Yandex.Plus I guess. So can you please just share first results of the launch of the subscription service of Yandex.Plus, in terms of maybe like user growth or improvement on the engagement on Yandex.Taxi or Yandex.Drives. or anything if you share which might be useful to drag the success of the launch. So, that's the first question second question. Second question is on the integration of Uber Operations, can you remind me whether you have completely integrated on their driver-side of the application of Uber and whether there is anything left in terms of the integration. The operation and the fourth question is a bit technical I guess. Looking at the presentation, I see there was a massive CapEx growth in second quarter '18. Sorry if I missed something, can you please elaborate on whatever the reasons behind of those,
Mikhail Parakhin: Hi Alexander. So on Yandex.Plus I'm not going to be able to share a lot of figures with you, just because it's so early, but what I can say is it's a significant contributor to the growth of Yandex.Music subscription service. As I mentioned, in the prepared remarks we have over a million subscribers in Yandex.Music now. And we used to have something like -- at the end of 2016, we had a quarter million. And so there's this massive acceleration in terms of Yandex.Music subscriptions and we're definitely seeing a lot more cross-pollination of the various services for Plus subscribers and I think we'll probably be able to share little more with you on the Q3 earnings call, especially as we integrate the ability to subscribe to Yandex.Plus and more and more services. Currently it's primarily Yandex music that's driving additional subscribers, but we think that we could sell this membership program inside of taxi, inside of drive, and inside of ru as well. On the question of the Uber integration, that is complete. It was complete just before World Cup started. So currently both the driver-side and the passenger-side application platforms are controlled by us. And finally on CapEx, as I mentioned my prepared remarks capital spend is not evenly split over the quarters. It was significantly higher in the first half and it will be for the year and as a percentage of sales we continue to stick with our guidance of mid-teens as a percent of sales. And most of our purchases in the first half were aimed at purchasing GPUs for various AI initiatives as well as buying servers for our upcoming cloud product which is a currently still in development phase and is obviously one of the investment projects that we're excited about and working on.
Alexander Vengranovich: Okay. Thank you.
Operator: Thank you. We will now take the next question from Vladimir Bespalov from VTB Capital. Please go ahead
Vladimir Bespalov: Hello. Congratulations on the numbers and thank you for taking my question. I have actually a couple of questions. One is on the capital allocation. You have a pretty case file. You have a good cash generating ability, but your investments are kind of restricted to a certain extent. You are trying to keep those at a certain level. Your -- my view is that you might be probably a bit more aggressive in defense. What is the reason behind this, is this like the lack of management floors, if you don't want to focus on too many projects at a single time or maybe execution risk and things like this. And the second question might be kind of a follow-up to this one. Could you maybe elaborate a little bit on your new undertaking such as Yandex.Health which is in, experiments may be a bit more Yandex cloud and what is the future of Yandex data factory. How you see it, maybe some other experiments as well that you can comment on. Thank you.
Mikhail Parakhin: Hey, Vladimir. So, I'll take the first question on the balance sheet and then Mikhail will discuss cloud health YDF and other experiments with you. So, on cash look we're very comfortable with where we are right now. We think we are well capitalized and you know it it's a good position to be in, to have you know a cash cushion to deploy against the various projects, as we see fit. And we also want to be extremely disciplined about the allocation of capital. I think you're right in terms of -- you're always more in need of high quality management resources than capital which is a good position to be in, because it forces you to be extreme disciplined about what you do, but also more importantly about what you don't do. And furthermore, we are starting to as you saw with the announcement of our buyback, we are starting to allocate some of the what we view as excess cash to buy back some of our shares. We bought back some amount over the last few months, but we're looking to obviously buyback more. I'll turn it over to Mikhail.
Mikhail Parakhin: Yes, so cloud is obviously one of our biggest investments now and we're super excited about it. As you know Russia uniquely lags other countries in terms of the cloud penetration for whatever reason. Even for the countries with similar level of GDP, say Brazil, Russia surprisingly has much lower percentage of businesses using cloud services. We believe that that cannot stay, and like it's actually going to change in the usage of cloud services is going to explode. We believe that we are uniquely positioned here to provide the best possible service with the compliance with all the regulations and very high quality. We probably have operators of the biggest data centers in the country I'm assuming. So cloud is I'm sure, you'll be hearing a lot about it in upcoming months. We feel strongly that everything is on track and we should do fine. Health and what was there YDF -- not very big, but they're tiny. So, I probably wouldn't want to bring too much spotlight on them. They're experimenting with lots of ideas. Thanks.
Vladimir Bespalov: Thank you very much.
Operator: [Operator Instructions]. We will now take the next question from Mitch Mitchell from BCS Global Markets. Please go ahead.
Mitch Mitchell: Hi and thank you for taking my call. Two questions and one kind of blue sky question for you. Concretely, do I understand -- we talked about partner network growth in the first quarter and you said we should see some acceleration in the second quarter and we didn't and you've also sort of clearly indicated that obviously, but your own and operating business is more powerful for you. Are you still hoping that the partner network growth will pick up going forward or is this really the result of a conscious decision to deploy resources to grow your own businesses faster and you're going to sort of let the partner network go where it goes. That's the first question. The second question is just I wanted ask if you can give us some color on what you have your convertible notes expiring this year, what you're thinking around them ? And then the last question is a very blue sky question, obviously you saw that the EU ruled against Google around Android much in the same way that the France ruled against them here in Russia. I'm wondering if you think that presents a long-term opportunity for Yandex in other countries in way that it maybe hasn't been in the past. Thank you.
Greg Abovsky: Hey, Mitch. So on partner revenue clearly we were wrong. We were certainly expecting that partner revenue would accelerate in the second quarter and it didn't and we're obviously disappointed by that. Not going to tell you that it's a conscious decision kind of post factum, I think when you play tennis, you get to play tennis with a net. So we were wrong, it didn't grow. We're hoping that it will accelerate in the back half of the year, but it's simply a question of partner mix and the product mix there. We are making a conscious effort to invest in our own properties as you could obviously tell by the math of our release, our own properties kind of excluding and the index market grew 28% year-on-year in Q2, which is obviously very significant and I think it's a great results. That includes things like Yandex images, Yandex collections, Yandex zen, all contributing to that growth and obviously having an ability to control product as well as the advertising and modernization is significant. So, I think I'll unpartner TAC. I'll just leave it at that. In terms of convertible notes, the ones that are due in December 2018 were plants simply repay those when they come due. I think we have 321 million of them left outstanding and we obviously have ample cash on hand to Vladimir's previous question to repay those. And in terms of opportunities, look we think about opportunities in terms of first and foremost, can we bring something unique to the consumer. Can we get into the hands of the consumer and is it going to be differentiated in the cases where we can answer those questions in the affirmative, we try to build a product that fits those needs. I don't think this particular decision really changes anything for us.
Mitch Mitchell: Great. Thank you.
Operator: We will now take the next question from Sveta Sukhanova from Sberbank. Please go ahead.
Sveta Sukhanova: I wanted to ask you about Zen. In May, you give us update with run rate for Zen is around RUB 4 billion. I wanted to ask has anything changed since that time. What is the track record of Zen from May until now. That would be my first question and my second question would be about over million subscribers for Yandex.Music, is the total number of subscribers including trials or it is just like paid subscribers for Yandex.Music? That would be my second question. And my third question, if I may would be about as part of the World Cup including advertisement and taxi? Thank you so much. 
Greg Abovsky: Couple of things on Zen. The current rate is something, I think just north of RUB 4 billion as I said. In terms of just seasonality as you could expect, you know Summer months tend to be a little bit slower, so it did grow sequentially from May to June, but not significantly, and it's going to be some time until it kind of picks up again, probably in September, when the run rate really accelerates one more time. And just on subscribers for Yandex.Music, it includes both free and paid. And oh just so you know, the monthly revenues are still growing 130% at Zen. So, it's on a very high revenue growth trend and then Mikhail will answer the question about World Cup.
Mikhail Parakhin: Yes, so impact of World Cup was pretty much as you would expect. We saw increase in our maps and sort of local search queries. We saw people searching more for restaurants and things like that, that you would imagine people would do after watching or during watching the game. We saw a decrease overall in search queries in general. We saw increase in usage of our news properties. Again no surprise there. Overall people spent less time on online properties in general, but more on video online and that was very successful for us. In terms of taxi, the good news the overall rides were higher obviously. The bad news was that also we were little bit oversubscribed because demand was very high, right. So, really nothing that you wouldn't think yourself kind of kind of the standard what you would expect from sports.
Sveta Sukhanova: Thank you very much it makes some sense, but my question was about more like quantify or contribution of two weeks of the World Cup in second quarter into the taxi number of rides, and into the organic ad revenues growth which was very strong - 28% in the second quarter of Yandex properties? That's first follow-up question about quantifying the impact, and second question what Greg mentioned is 130% monthly growth, for Zen is it month-on-month, did I get you right?
Mikhail Parakhin: Hey Sveta, no that's year-on-year.
Sveta Sukhanova: Year-on-year.
Mikhail Parakhin: 130% year-on-year growth in the month of June.
Sveta Sukhanova: Understand and if I…
Greg Abovsky: And, so on quantifying -- so on the ad front, we see roughly revenue neutral. So we made less money on some properties, more money on others like roughly it's probably flat. 
Mikhail Parakhin: And on taxi basically we got fewer rides -- I mean we got the same number of rides. We got more revenues from them, because basically the surge factor was higher, there's more -- a lot more demand without -- and equal number supply to match it. So, I wouldn't focus too much on the positive impact of that.
Sveta Sukhanova: Understand, thank you very much.
Operator: We will now take a final question -- a follow-up question from Alexander Vengranovich from Otkritie Capital. Please go ahead.
Alexander Vengranovich: Hi. Yes, thanks for the opportunity, just a little broad in general question on self-driving. So you mentioned you're quite optimistic of your investments there. Can you please just like outline the potential reasons why you investing in self- driving, how do you think you might get some payback from this investment. And which areas you think this investments will generate some additional revenues to you? Thank you.
Greg Abovsky: Hi, Alex. Sure, look I think it's -- nothing -- I don't think we are going to be sort of reinventing the wheel here, pardon the pun. I think we are sort of pursuing the exact same business models as sort of every other company self-driving around the world. The applications are either in self-driving cars or in self-driving taxi fleets.
Alexander Vengranovich: As far as I understand right obviously everybody is investing in this area, but at this stage it's pretty unclear how the whole model will work in the future. So, it's more about just invest in the future, right?
Greg Abovsky: You're right, it's investing in technology stack which will prove to be extremely important in the future, right. 
Mikhail Parakhin: I think it leads to direct reservation -- opportunities for us, first of all, it's savings in taxi, which is a direct opportunity and indirectly if we believe our technology is strong enough to be sold in global markets and this would -- it could become potentially a very good product to sell worldwide. 
Alexander Vengranovich: Okay. Thank you.
Operator: Thank you. This will conclude today's question and answer session. I would now like to turn the conference back to the host for any additional or closing remarks.